Operator: Good day, and thank you for standing by. Welcome to the TimkenSteel First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Jennifer Beeman. Mam, please go ahead.
Jennifer Beeman: Thanks and good morning, and welcome to TimkenSteel's First Quarter 2021 Conference Call. I'm Jennifer Beeman, Senior Manager of Communications and Investor Relations for TimkenSteel. Joining me today is Mike Williams, President and Chief Executive Officer; and Kris Westbrooks, Executive Vice President and Chief Financial Officer. You all should have received a copy of our press release, which was issued last night. During today's conference call, we may make forward-looking statements as defined by the SEC. Our actual results may differ materially from those projected or implied, due to a variety of factors, which we describe in greater detail in yesterday's release. Please refer to our SEC filings, including our most recent Form 10-K and Form 10-Q and the list of factors included in our earnings release, all of which are available on the TimkenSteel website. Where non-GAAP financial information is referenced, additional details and reconciliations to its GAAP equivalent are also included in the earnings release. With that, I'd like to turn the call over to Mike. Mike?
Michael Williams: Thank you, Jennifer, and thanks to everyone on the call for joining us this morning. We have enjoyed a strong start to our year thanks to the recovery in the automotive and industrial markets and our improving cost structure. As a result, in the first quarter, our adjusted EBITDA nearly doubled from the prior quarter and we continued to generate positive operating cash flow. The systemic changes we've put in place over the past 18 months, have allowed us to leverage recovery markets and improve profitability. Before I continue with my remarks regarding the quarter, I'd like to cover a few changes at TimkenSteel. As announced in our earnings release, our Board of Directors has named Ron Rice as our new Chairman, following the retirement of Jack Reilly. Ron has been an Independent Member of the TimkenSteel's Board of Directors since 2015, and brings a wealth of knowledge to the role. I speak for the team, when I say, we look forward to working with Ron more closely in the future. Furthermore, we sincerely thank Jack for his dedication and leadership as Chairman over the years. He was a Founding member of our Board of Directors, and under Jack's guidance, TimkenSteel has built a strong foundation for future growth. We are grateful for his contributions and we wish Jack, well in his retirement. We also announced that Tom Moline, Executive Vice President of Commercial Operation; and Bill Bryan, Executive Vice President of Manufacturing and Supply Chain, will both be leaving in the Company. Kevin Raketich, currently serving as Executive Vice President of Strategy and Development at TimkenSteel, will assume a new role as Executive Vice President of Sales, Marketing and Business Development. We expect smooth transitions in light of these changes. I'd like to thank, Tom and Bill for their many years of service and we wish them all the best. Turning to safety, this year we're focusing on special initiatives to ensure we keep our employees safe. In 2021, we will implement extensive confined space training, refocus on machinery safety, continue with our COVID-19 safety protocols and host our Annual Iron Shield awards. As a reminder, this is a program where we gather safety recommendations from our employees and reward teams for innovative ideas. As always, we will continue to leverage our relationships with our union safety reps to ensure that we provide the right level of training in the right areas. The well-being of our people is a core belief and nothing we do is more important than returning employees home safely at the end of their workday. Moving to markets, we continue to see steady automotive demand, particularly in the light truck and SUV categories and inventories remain at a historic ten-year low. We have all read about the commodity shortages, such as semiconductors, rubber and resin, which are disrupting automotive OEM production. We are staying close to customers, as they plan for recovery in the second half of the year and beyond. Regarding the global semiconductor shortage, in the fourth quarter of 2020, we had not yet experienced a meaningful impact to our order book. For the first quarter, we estimate this shortage has impacted our orders by approximately 2000 tons. We expect this will have a larger impact in the second quarter and thus far, we have been successful filling any open capacity with short lead time opportunities, elsewhere in our customer base. In our industrial markets, we continue to see positive momentum as evidenced by a 33% sequential increase in our shipments into that end market. We are encouraged that the majority of the industrial categories we serve, such as industrial machinery, agriculture, power generation and defense, continue to improve with the overall economy. Distributor inventories are at historic lows, which is presenting us with restocking opportunities. Overall, short term energy demand still remains weak. We remain cautious regarding the energy market, but there has been some signs of life with modestly improving industry statistics and a slight improvement in demand to fill inventory requirements. Regarding scrap pricing, the number one Bushling Index rose by $170 in the first quarter, reaching $567 per gross ton. We're optimistic that scrap prices will hold for the remainder of the second quarter, due to higher steel mill utilization. To highlight other events in the quarter, we announced that we signed an agreement with Daido Steel, to sell our TimkenSteel Shanghai subsidiary for approximately $7 million in cash. This deal aligns Daido Steel's strategy to strengthen its sales, technical and business management team in the Chinese market, with our desire to provide our customers a sustainable and high-quality supply chain in the region. Together, we have enjoyed a long relationship with Daido Steel. And this will continue as we support key customers in both Asia and the United States. The deal is contingent upon completion of usual and customary due diligence and is expected to close sometime in the third quarter of 2021. As previously discussed, we indefinitely idled our Harrison melt and casting assets in the quarter. We work collaboratively with our employees, suppliers, and a number of customers to ensure well organized and efficient transition. Going forward, all of our melting and casting activities will take place at the Faircrest location, and to date, we're fully manned at Faircrest melt, with increased staffing in mid-April, to support improving customer demand. By Operating one melt shop, we will be using our manufacturing assets more efficiently, while producing the best possible mix of products to meet our customers' needs. We expect our melt utilization to reach at least 80% or higher in the second quarter of 2021. Before I turn the call over to Kris, I wanted to highlight some of our current corporate sustainability efforts. At TimkenSteel, operating responsibly and sustainably is as important to us as making clean steel. For years, the Company has been focused on sustainability in our safety and environmental practices and we're proud of what we've accomplished. Currently we are working on enhancing our ESG reporting and we recently posted our first ever SASB disclosure on our website. We believe this is an important step in becoming more transparent in terms of how we manage critical natural resources. For example, this year alone, we expect to reduce our greenhouse gas emissions, over 10%. We look forward to sharing our long term goals, including GHG reduction targets later this year. Our culture is rooted in continuous improvement and being a good corporate citizen, where we work and live. With that, I'd like to turn the call over to Kris. Kris?
Kristopher Westbrooks: Thanks, Mike, good morning everyone and thanks for joining us today. I'm pleased that we started off 2021 with a significant improvement in profitability, both sequentially and compared with the prior year first quarter. Our quarterly financial results reflect improving industrial and automotive customer demand, in increasing raw material surcharge environments, the benefit of prior restructuring and cost reduction actions and continued working capital discipline. Our overall cash and liquidity position strengthened during the first quarter, as we generated operating cash flow of $13.2 million. We finished March with a record $115.7 million dollars of cash and $357.5 million of total liquidity, thanks to our employees for a successful start to the year, while remaining focused on daily execution. Turning to our first quarter of 2021 financial results. On a GAAP basis, net income for the first quarter was $9.8 million or $0.20 per diluted share. Comparatively, the Company reported a net loss in the first quarter of 2020 of $19.9 million or a loss of $0.44 per diluted share. The fourth quarter of 2020 net loss was $12.8 million or a loss of $0.28 per diluted share. On an adjusted basis, net income for the first quarter was $22.6 million or $0.43 per diluted share, a significant improvement from prior periods. For comparison purposes, the first quarter of 2020 adjusted net loss was $11.3 million or a loss of $0.25 per diluted share. Adjusted net income in the fourth quarter of 2020 was $600,000 or 1 penny per diluted share. As it relates to earnings per share, I would like to point out that the diluted share count in the first quarter of 2021 was 55.7 million shares. For further details regarding the additional shares included in the calculation for the convertible notes and share based compensation awards, as well as the treatment of the convertible debt interest expense, please refer to the earnings per share disclosure in our Form 10-Q filed yesterday. Turning back to profitability, adjusted EBITDA improved to $40.8 million in the first quarter of 2021. This was a substantial improvement of $31.8 million from the first quarter of last year, and an improvement of $20.1 million from the fourth quarter of 2020. Adjusted EBITDA in the first quarter of 2021 represented the Company's highest level of quarterly adjusted EBITDA since 2014. Moving now to the drivers of the financial results. Ship tons in the first quarter improved 18% to 193,400 tons compared with the fourth quarter of 2020, but declined 9% in the first quarter of last year. The order book expanded throughout the quarter in the industrial end market and we experienced continued strength in the automotive sector. Shipments to our industrial customers increased 21,100 tons sequentially or 33% to 84,400 tons, with demand improvement from both industrial OEMs and distribution customers. Automotive customer shipments increased 7,200 tons sequentially or 7%, to 103,500 tons in the first quarter. In the energy end market, we continue to be impacted by weak demand with shipments of 5,500 tons, albeit an improvement from the fourth quarter. Net sales of $273.6 million in the quarter increased 13% compared with the fourth quarter of 2020 and improved 5% compared with the first quarter of last year. About half of the sequential increase in net sales was due to higher industrial and automotive shipments. The remainder of the sequential increase in net sales is primarily due to an improvement in surcharge revenue, as a result of a 65% increase in the average raw material surcharge per ton, on higher scrap prices. From a manufacturing cost perspective, our continued focus on cost control and improved utilization rates in the quarter, contributed to an $8 million sequential manufacturing cost improvement and a $19 million improvement from the prior year first quarter. As Mike mentioned, we completed the indefinite idling of the Harrison melt and casting assets and moved all melting and casting activities to our Faircrest facility. Savings associated with this action remain in line with those estimates discussed in our year-end 2020 earnings call in February. From a melt utilization perspective, higher end-market demand in the industrial and automotive sectors, resulted in an improvement in our first quarter melt utilization to 59% compared to 43% in the fourth quarter of 2020, and 47% in the first quarter of 2020. The first quarter of 2021 melt utilization rate was calculated using a melt capacity of approximately 2 million tons, given that the Harrison melt and casting assets were operational for most of the quarter. Going forward, we plan to report melt utilization for Faircrest only, which as a reminder, has a melt capacity of approximately 1.2 million tons. For comparison purposes, Faircrest only melt utilization in the first quarter of 2021 was 73%. Now turning to SG&A expense. In the first quarter, SG&A increased slightly on a sequential basis to $19.5 million as a result of higher variable compensation expense. In comparison to the first quarter of last year, SG&A declined by nearly $4 million or 17%, largely driven by lower employment costs as a result of prior restructuring actions, supported by a continued focus on process simplification and efficiency. Moving on to cash flow and liquidity. The Company generated operating cash flow of $13.2 million in the first quarter. Working capital was a use of cash of $13.1 million in the quarter, driven by an increase in accounts receivable and inventory requirements, given the higher sales activity. These cash uses were partially offset by an increase in accounts payable, primarily due to higher scrap purchasing levels and prices. Our working capital management actions implemented in 2020 remain in place and are an important area of continued focus going forward. The positive first quarter operating cash flow, drove the corresponding increase in cash on hand, from the end of 2020, resulting in $115.7 million of cash to close the quarter. From a liquidity perspective, our total liquidity of $357.5 million at the end of March, represented a $43.4 million improvement from the end of 2020. The increased liquidity was the result of improved profitability, positive operating cash flow generation and an expanded asset borrowing base. From a pension perspective, the Company recorded a small non-cash re-measurement loss in the first quarter of 2021, as a result of the required salary pension plan re-measurement. Re-measurement of the salary pension plan, which is excluded from adjusted EBITDA results, will be required on a quarterly basis for the remainder of 2021. In total, the accounting funded status of all plans was 86% at the end of the quarter, up slightly from the end of 2020. In March, the American Rescue Plan Act of 2021, was signed into law. This Act includes pension funding relief that we anticipate will have a significant impact on the timing of future required Company pension contributions. As a result of this pension funding release and based on current assumptions and expected asset returns, at this time, we believe are required future US Bargaining Plan pension contributions, will likely be delayed until 2028. As further information is available regarding the timing and amount of future required pension contributions, we will provide updates accordingly. To wrap up, we're encouraged by the improvements in our order book supported by strength in industrial and automotive demand. We're closely monitoring customer supply chain disruption and uncertainty created by the ongoing COVID-19 pandemic and will remain flexible in our operations to meet customer demand. Looking forward, in the second quarter, we expect high single-digit sequential growth in our ship tons on a percentage basis, as well as sequential increase in adjusted EBITDA. Second quarter Faircrest melt utilization is expected to be 80% or higher to support the current demand environment. Additionally, our cash balance will be impacted by the repayment of the remaining outstanding Convertible debt due on June 1st, 2021. At the end of March, the outstanding balance of the Convertible debt due on June 1st was $40.2 million. Thank you for your interest in TimkenSteel, we look forward to sharing our continued progress going forward. We would now like to open the call for questions.
Operator: [Operator Instructions] Your first question is from the line of Seth Rosenfeld with Exane.
Seth Rosenfeld: Good morning. Thank you for taking our questions today. If I can kick off please with regards to your commentary on automotive demand. It sounds like to date that impact in the semis disruption hasn't been so significant for your business, but might be getting more in the Q2. When you think about that mix impact, what's the implication from margin perspective of selling in the spot market today versus selling on those fixed auto contracts there, please?
Michael Williams: By the way, thanks for the question. There is definitely a margin improvement on the spot business versus the contractual business in the automotive customers that we have.
Kristopher Westbrooks: Except to add on to that, to the extent it shifts to industrial, we would expect that to be a benefit as well.
Seth Rosenfeld: Okay, thank you very much and just a follow-up, can you give us an update on how the annual auto contract negotiations progress, I think it's kind of the last quarterly call, mostly been settled but perhaps not all of them and given the increasing strength in the spot market, is there any opportunity to go back and try to renegotiate those contracts, while going into later in the year, at what point would you expect some lease up potential?
Michael Williams: Yes, so we do have some automotive contracts that expire at the end of the first quarter, were in -- were negotiated and completed, starting for the second quarter and they were favorable to our expectation. In regards to the existing contracts in place, that activity will start later this year, typically starts late August through September, for next year.
Seth Rosenfeld: Okay. And when find an opportunity, go back and try to renegotiate with January contract at this stage?
Michael Williams: No. We made a promise of a commitment and we stick to it.
Seth Rosenfeld: Okay, very clear. And just one more question on the ESG side. Your comments in your prepared remarks, estimation to reduce greenhouse gas emissions by 10% this year. Can you give us a bit more color on that in terms of what the base year is for that, is it the year-over-year and also what are the key drivers that you can expect for that significant one year step?
Kristopher Westbrooks: Sure, Seth. That's based off of our 2020 emissions, in our report, so we would expect that 10% improvement off of 2020. And it's primarily driven by the manufacturing footprint actions that we have previously announced. And we plan to provide more color as the year progresses on our targets for the future, by the end of this year.
Seth Rosenfeld: Okay, thank you very much.
Kristopher Westbrooks: You're welcome.
Operator: Your next question comes from the line of Phil Gibbs with KeyBanc Capital Markets.
Philip Gibbs: Hey, good morning.
Michael Williams: Good morning.
Philip Gibbs: Just to piggyback Seth's question on pricing and mix, it was a headwind in the first quarter relative to the fourth quarter, $6 million. And with your spot increases and an opportunity to shift some auto tons to new industrial and you did have a very weak mix, it looked like in energy. Do you think that the first quarter of '21 is the bottom for you for your pricing and mixed cadence for the year?
Michael Williams: We do expect the mix to improve based on the demand going in the second quarter by market. I will tell you that quarter-over-quarter, the major influence was from a mixed price standpoint, was more carbon versus alloy grades, and also we had a strong defense shift sales level in the fourth quarter that didn't repeat itself in the first quarter, however, we do expect that defense volume to increase, particularly in the second half.
Philip Gibbs: Okay. So carbon versus alloy and then defense then is rich, in terms of your mix and then some of your spot increases that you put in, in both SBQ and in tubing over the course of late last year, early this year, are those starting to hit their stride in the second quarter? I would presume you didn't get much given your lead times in Q1.
Michael Williams: On our base price quarter-over-quarter, we saw about a 6% increase overall, but we -- the price increases that were announced earlier in the first quarter are taking hold in the second quarter. So, we do expect price improvements going forward.
Philip Gibbs: Okay. And then, you have completed it appears your consolidation of Harrison and the Faircrest, did you have any frictional costs in the first quarter in your results that you didn't call out? I know you pulled some stuff out of the numbers to get your adjusted results, but was there anything in the results that you didn't pull out, that you define as frictional that may -- that may dissipate?
Michael Williams: Yes, there were some MRO and spares type activity that we had to take charges on in Q1, that won't repeat itself going forward.
Philip Gibbs: Were those -- were those pulled out then and because I know you did make a series of adjustments in the results, were those still in the results despite the exclusions? That's what I was trying to figure out.
Kristopher Westbrooks: Yes, Phil, the majority of that was excluded, that both, asset write downs as well as the supplies write downs, those were excluded from our non-GAAP results. There was a smaller amount of alloy raw material adjustments as we shifted all of our extra raw materials over to the Faircrest location that impacted Q1, but not overly material.
Philip Gibbs: Okay, Kris and then, I appreciate that. And then last one for me is net working capital and clearly, you've got continued inflation in raw materials, better demand levels, what should we be thinking about in terms of net working capital over the balance of the year? Thanks.
Kristopher Westbrooks: Sure, Phil, I'll take a shot. Primarily in the second quarter, the EBITDA growth that we commented on in our guidance in the higher volumes should be a positive driver of cash flow in the second quarter. We do have some potential working capital build though for receivables, given the higher sales prices and higher volumes there. Ultimately, the outcome is going to be dependent on the level of that EBITDA growth and how we balance that with working capital. It's clearly going to be a focus for us and we're very well positioned in all of our working capital practices. I'm sorry, I can't give you too much detail there, but definitely still a focus for us and starting with the strong top line definitely helps.
Philip Gibbs: Can I squeeze in one more here, just for housekeeping purposes. I think the bottom line number 55 million, 56 million from memory on the share count in Q1, I know that probably did include some convertibles, what is that number on a pro forma basis, as we look ahead when you include the convert pay down?
Kristopher Westbrooks: There's about 3.2 million shares associated with the 2016 converts that are due in June of '21, June 1st. So you would expect that 3.2 million to come off that total of share count that you mentioned, the 55.7 million. There is some additional shares for equity based compensation that's dependent on stock price and other things at the time, so that would be an incremental add. Then you also have to adjust the top line, there is a numerator, so, the interest expense component that you add back to net income at this level income would be -- it would be lower by about $600,000 or $700,000. So there's two moving pieces there, lower interest expense, add back and a slightly lower share count by 3.2 million and that's at current net income levels.
Philip Gibbs: Okay. So the $1.3 million goes to $0.7 million or something on the add back. And then your 56 million, 57 million wherever your word goes, goes down through your $3 million and change, absolutely [indiscernible] in your compensation issues. Okay, thanks very much.
Kristopher Westbrooks: You're welcome. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Justin Bergner with G. Research.
Justin Bergner: Hi. Good morning, Mike. And good morning, Kris.
Kristopher Westbrooks: Good morning.
Justin Bergner: I apologize I jumped on the phone call little bit late, so I hope I'm not redundant here, but I mean, great performance in the first quarter and good outlook for the second quarter. How should we think about sort of the effects of inventory profits flowing through the first quarter EBITDA and second quarter outlook? I mean once steel prices and scrap prices sort of flatten normalize, is there any sort of, you know perspective, you can give us as to how much would come off of EBITDA for the first half?
Kristopher Westbrooks: It's a little tough, Justin. I mean we're turning our inventory quickly, all the working capital practices that we put in place historically are continuing, especially on the raw material side. So we don't have a lot of cheaper raw material sitting in there, it's current purchases pretty much and try not to do any speculative purchasing or manufacturing or making products for customer shipments and working our hardest to get it out the door to meet on those customer commitments.
Justin Bergner: Okay, and then just a reminder, I guess for us, now that you've consolidated at Faircrest, what's sort of the maximum level of shipments that you could do on an annual basis, assuming that you're sort of producing for the level of shipments?
Michael Williams: Yes, so based on the nameplate melt capacity at 1.2 million tons, that would basically net out about 900,000 tons of shipments per year and that can vary based on mix slightly, but I would say that's a good number.
Justin Bergner: Okay and just remind us as well. I mean you're on track to do about 400,000 tons of shipments in the first half, I mean if normal seasonality takes effect, I assume we would annualize that at a little bit less than 400,000 tons, but if there is any just reminder, you can give us as to sort of the -- the seasonality in the second half versus the first half, just given production schedules and shifts and holiday outages.
Michael Williams: Yes, so -- so the seasonality, really occurs in the fourth quarter based on what we see and that's typically driven by the holidays, as well as year-end inventory reductions that the customers take to manage their inventories for year-end. Typically, we see that historically spent about 10% to 15% less than the prior quarters.
Justin Bergner: Okay, that's helpful. And are there any sort of optimism towards energy or is it sort of still deemed to your small contributor, your shipment levels going forward in the future?
Michael Williams: Yes, I can tell you, what we're experiencing is the fact that, we have seen a pretty decent increase in activity in regards to inquiries. But that hasn't necessarily translated to orders. The orders that we do or the slight increase in shipments to the energy market, is predominantly driven by inventory gaps or requirements to fill inventories that have been run out or well below their safety levels. So, it's kind of hit or miss on that. The industry statistics are improving in regards to slight to modest rate growth. But, that's pretty much what we're seeing.
Justin Bergner: Okay.
Michael Williams: I wouldn't -- I wouldn't call it optimistic, but we do see some modest slight improvement going forward.
Justin Bergner: Okay, thank you.
Operator: At this time there are no further questions. I would now like to turn the call back over to management.
Jennifer Beeman: Thank you all for joining us today, and that concludes our call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.